Operator: The presentation will be followed by a Q&A session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Christian Kullmann, CEO. Please go ahead. 
Christian Kullmann: Thanks a lot. Welcome, and thanks for being with us today. Since we already published preliminary results 3 weeks ago, there's only limited news in the key financials, maybe apart from the strong free cash flow. So we will focus on the main drivers and look ahead.
 Let me start with my, let's call it 2 personal highlights in the results. First, of course, the strong earnings growth close to 30% improvement year-on-year, which stands out quite positively in the chemical space this quarter, [ I would say ]. Second, the fact that Evonik has been the only company in our peer group to pre-release both underpins that the main drivers are less so a broad-based economic recovery, but rather some Evonik-specific factors.
 What was these about? First, we have seen the comeback of specialty additives. There were quite some discussions with you recently about the division. But the start into this year is the first proof point that the business model and our competitive position are very much intact. We've had the prices quite well over the last quarters and have been very disciplined on the cost side [ too ]. Now with the first volumes coming back, the division benefits from its high operating leverage. In the last downturn, Specialty Additives has always proven most resilient in our portfolio. The first quarter finally confirms the high quality of this business.
 Second, we've seen the expected catch-up in Nutrition & Care, almost doubling EBITDA year-on-year. The price increases from methionine implemented over the last quarters now bear fruits in addition. Our strong Care portfolio returned to a double-digit EBITDA growth track record. It has delivered over the last 8 years, only briefly interrupted in the last year. So we have no doubt that this growth will continue.
 And Animal Nutrition will continue to benefit not only from higher prices, but also [ and ] all the more from the continued ramp-up of cost savings, especially with the completion of the backward integration at our U.S. methionine plant in 2025.
 Finally, the contingency measures kicked off last year continue to deliver visible results on the bottom line and the best is still to come. From the end of this year, we will also recognize a ramp-up of the EUR 400 million from our Evonik Tailor Made program. And I already promised you today a very high drop-through to the bottom line.
 Now, after my tiny and brief introduction, over to Maike. 
Maike Schuh: Thanks, Christian, and good morning from my side as well. Also, I will keep it short and focus on the main new KPI for today, the free cash flow. It came in more than EUR 100 million higher versus the previous year. Obviously, we benefited from the higher earnings. But in a similar magnitude, we have achieved a lower net working capital outflow. Despite some restocking needs also on our side, we did not let loose on our strict net working capital management.
 On top, lower tax outflows helped to counter the high cash-out for CapEx, but -- a higher cash-out for CapEx, but being mainly driven by phasing though. For the full year, we continue to expect lower cash-out for CapEx as well as for taxes, and both support the extension of our free cash flow track record. 40% cash conversion year -- for the year continues to be our short and midterm aspiration levels.
 After this record short period, apart from me, Christian, over to you again for the outlook. 
Christian Kullmann: Thanks a lot, Maike. With the first quarter, we have laid a solid foundation for the year. For the second quarter, we do see similar operational trends as in the first quarter, still with no broad-based macro recovery in sight. Specialty Additives shows a solid order book for the next month. Also, we see the positive market and price momentum in Animal Nutrition continuing. And Performance Materials should continue to benefit from the disruptions of global supply chains in the second quarter as well.
 Earnings will only be held back by some planned but larger maintenances in methionine, crosslinkers and our C4 chain. All in all, we see the second quarter EBITDA on a similarly solid level as in the first quarter. And just between you and me, there's probably more upside than downside. As I have mentioned, there's probably more upside than downside. This means our guidance should be well underpinned with above EUR 1 billion of EBITDA in our bank after the first 6 months.
 Still, for the full year, we stick to our guidance range, simply because our visibility into the second half of this year is still subdued and no macro recovery is visible yet. Therefore, and please forgive us, we prefer to stay conservative, but to make it very clear, even crystal clear, any macro recovery would result in some additional potential and is not a requirement to reach the guidance.
 We finished, just like in March, with our current management agenda. Short-term, we'll execute on cash and costs. In midterm, we continue to drive our portfolio transformation to invest into innovation and sustainability. And with our Tailor Made program, we are just about to radically reorganize our structures. All of this will secure earnings growth and strong cash generation for 2024.
 And with that, ladies and gentlemen, thanks for your interest so far, and now it is time to take your questions. 
Operator: [Operator Instructions] The first question is from Martin Roediger with Kepler Chevreux. 
Martin Roediger: I have 3, please. Looking at your segments, Specialty Additives and Smart Materials, can you talk about the demand patterns in the [ rise ] end markets such as automotive, electronics, construction and so on? 
 Second question, what is your best guess about the impact from the planned shutdowns for methionine, crosslinkers and C4 chain in the second quarter? Is it in total EUR 15 million or even higher?
 And the third question, can you please quantify the license income in hydrogen peroxide within Smart Materials in Q1? It must have been quite significant, because you say that EBITDA in Q2, it's [ margins ] will be sequentially flat despite slightly better performance in silica, catalysts and high-performance polymers. Would it be fair to say that this license income was EUR 20 million or EUR 30 million impact? 
Unknown Executive: It's [ on me ]. The first question we go on the performance of our different end markets. Christian will take second and third question, and then go to Maike. 
Christian Kullmann: So maybe let's start with the positive. Here, or in particular, coatings, what do we see? First of all, it is a more and most pronounced destocking in comparison to last year. We see that the biggest -- let's call it, from a regional point of view, the biggest bounce back in Asia. So here, we are on our way back on track positive, for sure, Personal and Home Care. It is supported -- the recovery here is supported by the falling inflation, which is a positive for consumption, and that is maybe worthwhile to underpin that we see the strongest demand in our higher value active ingredients, which is probably paying off now.
 Another positive, Animal Nutrition. The falling inflation is here worthwhile to mention because the end consumer demand is fostered by this. And on the other side what we see is that the meat consumption is coming back, which translates into [indiscernible] that have started to build up once again a mixed picture. So maybe as a second bucket. Yes, there are some concerns on the slowing, a little bit [ chewy ], slowing automotive production, which are still in the room.
 On the other side, we have a very good demand in lubricants and in coatings, both, as you know, Specialty Additives. For tires, there is currently a rebound momentum that we do observe. And on the other side, we see overall the demand of PA 12 is still sluggish, weak, but there are some positives, in particular, for example, if we think about the [ e-vehicles ] in China here in respect of our [ cooling ] lines.
 Mixed picture also in construction and durable goods. And on the one side, that -- we could observe that there is -- let's say, the market appears to be buttoned out and we see some slight recovery, in particular in Asia, but you have to take in consideration that the mortgage rate, for example, in the United States and in Europe are still subduing the market in these regions.
 So on the other side if we think about our PU foams in Specialty Additives, here, we do see a good kind of tailwind, whereas in respect of wind, despite that each and everybody is talking about the future of wind energy and each and everybody is claiming that it is a need to enhance investments in this particular industry, here, the demand could be a little bit stronger. So that is maybe an overview to answer your question.
 And with this, I hand over to Maike. 
Maike Schuh: The next 2 questions, you have asked about the impact of the shutdowns, crosslinker, C4, and also, of course, the maintenance shutdown of our methionine plant. So we have calculated forecast of roughly EUR 20 million for all 3 and probably roughly half of it will be dedicated to the methionine shutdown.
 And then your other question regarding the license income of our HPPO business line, let me maybe dive a little bit deeper here. On the one hand side, just to make that clear, it is part of the business model of our business line. But because it is extremely difficult to forecast it, we simply do not forecast it. It was roughly EUR 15 million in Q1. And just to make also very clear, we forecast Smart Materials still stable quarter-over-quarter, Q1 to Q2, because on the one hand side, we have the license income for our H202 plants in China. On the other side, we see that silica, catalysts and also PA 12 will compensate for this license income. So overall, we see Smart Materials on a stable way going forward. I hope that helps. 
Operator: The next question is from Jonathan Chung with Morgan Stanley. 
Jonathan Chung: I've got 3 questions, please. The first one is on your reorganization programs. Could you tell us how much of your EBITDA improvement in this quarter came from your Tailor Made program and your Animal Nutrition operating model adjustment? 
 My second question is on your utilization rate. Can you give us a sense on how much your planned utilization rate has improved in Q1 versus last year?
 And then my last question is on Animal Nutrition. So one of your peers announced earlier in the year to separate out the Animal Nutrition business from the group. And I recall in the past that you said [indiscernible]  Evonik and would not separate that out. Has anything changed in your thinking recently? And do you see scope to expand your Animal Nutrition beyond methionine? 
Unknown Executive: The first question Maike will take on the effect from the cost savings and realization program. Second and third question go to Christian. 
Maike Schuh: All right. And I'm happy to answer your, yes, let's call it, restructuring questions on Animal Nutrition and Evonik Tailor Made. With regards to Evonik Tailor Made, we just started, as Christian pointed out in his speech, the program. So in the first quarter, it's actually -- it's more [ tenders ]. Yes, we -- of course, we are very focused on cost, but that's part of our contingency program, which is still up and running. You remember that's the EUR 250 million. We have rolled forward from 2023 to 2024. So [ ETM ], there is, I would say, zero impact in the Q1 figures.
 Animal Nutrition, we have mentioned that with the methionine restructuring problem going -- growing the business line into a commoditized business, we see a EUR 60 million EBITDA or cost improvement for the full year. So I would say just divide it by 4, and then you [ have your ] figure.
 And then I hand over to Christian. 
Christian Kullmann: The utilization rate you have asked for is definitely on its way to improve. But keep it like this, there are still a good room for additional improvement in respect of, for example, Specialty Additives. We have increased the utilization rate as of today by around 5%. But keep it like this, we are on our way to have a high utilization rate. But nevertheless, there is room for improvement, and that is what gives us confidence to -- for this year. Let's keep it like this.
 Third question about Animal Nutrition, 2 letters, one message, no. We do remain -- we do stay put to our strategy, as you are familiar with. Why? We are the only player in this market where the geostrategical positioning where we do have in each and every growth market [ won ] world scale capacity, like in [ Mobile ], in the United States, in Antwerp in Europe, and in Singapore, for Asia. That is what we're going to benefit from.
 And don't forget that our debottlenecking measures we have started and will help to better our cost position once again. And as you could see, observing the methionine market as it is, you could observe that the good amount of our competitors have decided not only to mothball, instead of to shut down their capacity. So for us it is -- we are convinced that we are well positioned and in future times that we will benefit from this business much more than it is as of today, in particular as a cash-generating unit. 
Operator: The next question is from Sebastian Satz with Citi. 
Sebastian Satz: Both on Nutrition & Care, please. The first one is again on methionine. And I just wondered whether you could give us an idea how much of a benefit we can expect from the cost savings from the backward integration in the U.S. next year? Are we talking about low double-digit, maybe mid-double digits? So any color here would be helpful. 
 And second question is on your healthcare business. Just wondered if you could give us an update on where your mRNA pipeline stands at the moment and when we can expect a material contribution to earnings here? 
Unknown Executive: First -- second question on healthcare and mRNA pipeline goes to Christian, and the first question on the benefit in 2025 goes to Maike after that. 
Christian Kullmann: Your first question was... 
Maike Schuh: Healthcare. 
Unknown Executive: The second question on messenger RNA, lipids and our business prospects there. 
Christian Kullmann: I guess the first was about... 
Maike Schuh: Methionine. 
Christian Kullmann: Okay. Let's do it like this. I jump in, talking about methionine and the backward integration. Our idea is that in future, after we have ramped up the methyl mercaptan backwards integration in [ Mobile ] in the United States, we have a cost position that will be definitely much better than, for example, landed costs from producers who are trying to import methionine from Asia, here in particular from China. 
 And you should not forget that if I talk about -- when I talk about landed cost, I do mean landed costs before any kind of import taxes. That is our aim, and you could bank on my word that we will fulfill this aim, this goal by ramping up the backward integration of our methyl mercaptan capacities in the United States.
 In total, we have started the project called [indiscernible] 2 years ago. Last year we benefited from it with an amount of EUR 60 million. This year, we will have additional EUR 40 million to EUR 50 million, and the total amount you will see in 2025 with the rest of this EUR 200 million to EUR 100 million in addition. That will, for sure, better our position in the methionine market in respect of our cost positions -- [ name ] and remarkable.
 Talking about our lipid plant in the United States, which is pretty nicely and well additional financed by subsidies from the American authorities, we are on track. Here, we will have a ramp-up in 2026 and that translates into the first earnings we will see in 2026. And one thing I can assure you, and that is that our R&D capacities, our collaboration platforms with other companies in the mRNA area are definitely filled up. And even they are saying, "As you know, I'm conservative, but here is worthwhile to go a little bit into rhapsodies" -- are filled up to the utmost. So that are the first 2 questions we have got here in essence, and I've tried to answer them as precisely as possible. Was there a third one? 
Sebastian Satz: No. 
Operator: The next question is from Chetan Udeshi with JPMorgan. 
Chetan Udeshi: I just wanted to follow up on how do you see in general your order book dynamics, visibility? Do you think the visibility is now starting to stretch a little bit, becoming a bit more normal? Or are things more patchy? And the reason for this question is, we've seen a few companies talk about a good Jan and then the orders started to weaken throughout Q1. I don't know if that's the phenomenon you have seen in your order book. Or do you see differently? 
 The second question was, and I'm just using methionine, let's say, as an example here. But if I look at the Chinese exports of methionine globally, but also to Europe, we've seen a record level of volumes coming through to Europe and globally from China today on methionine. And I guess it's the same for fumed silica probably, not that I have looked at the data, but I guess it's the same. My question is, as you think about next 2, 3, 4, 5 years, do you think there is enough logistic capacity for China to continue to gain higher share globally by shipping more and more? Or is there some sort of a bottleneck, whether it's shipping, whether it's terminals, I don't know, but just in terms of how feasible is it for the Chinese competitors to keep gaining share, both in Europe and globally? Is there some sort of a bottleneck for that trajectory to slow or even reverse? 
Unknown Executive: I give it another try to distribute the questions. And [indiscernible] if Maike takes the first one on order book dynamics, and Christian, the second one on the Chinese imports and the logistics and so on and what we see in our markets. 
Maike Schuh: Chetan, your question regarding volumes, order books, order trends, what we see basically is, yes, we still have a rather short visibility. So the orders are coming in. They are slightly better actually. The order trends are slightly better, but very, very short-term. And also what we see is that the volumes are smaller. So the orders are coming in on a more frequent basis, but with smaller volumes. Just to underline that, our visibility is there still rather short-term then, as we have mentioned before. We take a very conservative approach there. What we can see is Q2, but as I said, slightly better or at least bottoming out depending on business line by business line.
 With that, I hand over to Christian. 
Christian Kullmann: I've taken my binoculars on to provide you with a long view in respect of the methionine market. And I would tackle it a little bit from a different point. What we do see as of today is that we are facing a more regional oriented market approach. That is fostered, for example, by import taxes that is fostered by different, let me say, regional political decisions. 
 For example, if you want to import from Asia or even Europe methionine to the United States, you have to pay an import tax of [ 30% ] [ in brackets ]. We do benefit from it because we're the only one having a capacity down there. So that is maybe one of the major -- from our point of few major blockings for these Chinese producers to import methionine across the world.
 Second, and if we talk about capacities, maybe it is of interest to give you a little bit more color here, assuming that we do have a market growth year-on-year by around 3.5%, or maybe between 3% to 4%, which translates into the 70,000 tons of market growth. And if you then consider that -- for example, Adisseo has decided to close the capacities of 70,000 tons in Europe, that -- Sumitomo has given -- has published that they are -- have taken the decision to reduce their capacity in 2 steps, which means here we are going to lose additional 70,000 tons in the market. And that our competitors in Malaysia, [ CJ ], that they are -- have decided to take 40,000 tons out of the market.
 I would say by calculating this, by taking this in consideration that in future -- though in the near future, the market growth in comparison to the market capacity and the capacities which are coming out of the market, was closed, it's give or take [ wash ], it isn't wrong.
 And I guess it is similar, this regional strategy for silica and for the crosslinker business. Here, I would say, first of all, it is similar. Second, the higher the quality of your products -- for example, in the silica business is -- think about metal oxides, the better your market position is, and the more or the closer you come to, let me say, essential or more commodity-oriented businesses, the tougher your market position will be and that you should see through the glasses of the regionalization of these particular markets.
 And there was a third question about crosslinker, I guess? 
Unknown Executive: I think that was it Chetan, right? 
Chetan Udeshi: Yes. I think that's what -- but I just used methionine as a sort of example. But I guess, it's relevant for crosslinkers, relevant for your fumed silica business, but I think I understand your big picture view on regionalization. 
Unknown Executive: We could take the next question then. 
Operator: The next question is from Rikin Patel with BNP Paribas. 
Rikin Patel: I've got 2. Firstly, in your prepared remarks, you mentioned that you see more upside than downside on your Q2 guide. Could you maybe mention which areas, in particular, do you think could drive that upside surprise? 
 And secondly, in Care Solutions, can you remind us when you expect the biosurfactant plant to start up and maybe give us a sense of earnings contribution? 
Unknown Executive: First question, and [indiscernible] Christian will follow up on the upsides and downsides we are seeing into Q2. And second question, I think Maike will take on the biosurfactant plant and impact. 
Christian Kullmann: Upside, the most relevant upside I do see as of today is that BVB has made it yesterday playing in Paris and now we are in the Champions League Final. Now back to [ seriosity ], upsides for sure, Specialty Additives. Here, we do see that they will continue, and with the continued volume leverage, which translates into a good field of our order book. Methionine, another business with good and attractive upside potential, why prices do rise further, definitely up. 
 Third upside, Performance Materials. As you know, here, we do benefit nicely from the supply chain disruptions about the Suez Channel. And last but not least, our strict cost discipline we do remain and we do stay put to. There is, for sure, kind of attractive upside potential.
 On the other side, you have asked about the downside. It goes without saying, this [ kicking ] -- sticking into our eyes, downside means here that we will still not do see any broad-based macro recovery. And that is what we have to take into consideration. The downside, as mentioned, are the further maintenance shutdowns in crosslinkers, C4 and methionine, talking about the roughly the EUR 20 million we will miss here. So in a nutshell, and overall, we do probably. And I suppose to see it -- therefore, to say, we will probably more -- see more upside than downside. And with this, I hand over to Maike. 
Maike Schuh: Rikin, so you asked about our biosurfactant plant in Slovakia, and I'm very happy to assure you that we will have the opening of the plant in the next coming, actually days, I think days or at least weeks. So it is up and running, it's in time and in budget. And so as I said, start-up is right now, capacity is filling up. So we will see the first contributions this year. 
 Because it is a biosurfactant plant, of course, it is a rather slow take within this year. The full capacity will be then by end of the year or beginning of next year. So it is planned. We feel or we forecast actually sales potential around, let's say, EUR 100 million in midterm. And we take it from there. So maybe we can -- because the capacity is really filling up and the orders are filling up extremely fast, maybe we can see another plant in the coming future. 
Operator: The next question is from Jaideep Pandya with On Field Research. 
Jaideep Pandya: I want to dig a little bit into the Nutrition & Care business, but more on the healthcare and the consumer care side. For the last few years, I mean, leaving aside when methionine was doing really well, your margins in this division sort of averaged between 18%, 20% when methionine does well. But these days they are doing, sort of call it, 14%, 15%. So I'm curious to understand what is the margin profile for healthcare and consumer care, given especially in Consumer Care a lot of your exposure is to the personal care sort of skin care market? So why don't you earn like an average of around 20% in these 2 businesses? That's my first question. 
 The second is sort of a tied-in, just to understand whether you are ruling this out completely? Are you ruling out a foray into any adjacent markets like vitamins, for instance, if the assets are available? It's my second question.
 And then the last question really is just an update on PA 12. Can you tell us if the plant is running smoothly now and what is going to be the strategy to introduce volumes into the market? How is the uptake here given it was super tight? And have you already started to sell the upstream polymer -- sorry, upstream monomer as well as the downstream polymer? Or are you just selling the downstream polymer right now? 
Unknown Executive: I suggest, Christian start with the first question on the health part of the Nutrition & Care business and on the more strategic question here on M&A and vitamins, and Maike will then take the PA 12 update in your third question. 
Christian Kullmann: Let's keep it like this. For us, vitamins is a commoditized business where the Asians here, in particular, the Chinese are ruling and running the markets. So for us, it is an area of noninterest, because we do focus on our specialty businesses with higher margins or -- and in addition, on cash generation -- cash generating units and -- vitamins are not at all fitting for us into this -- one of these 2 buckets. 
 Second, Care Solutions, our expectation is, and they are going to fulfill it because they are pretty well on track, to come well above a 20% margin. Fair to say that over the course of last year, there have been not reached this margin because we have suffered from the global economical headwind all around and the same has hold true for our Care Solutions business.
 In healthcare, we do have no doubt about. Let me be here very straight with you. We will have, in some areas, some, let me say, challenges we will address. There is a lot of beauty in this business line. Think about our lipids and think about our mRNA contributions. But on the other side, yes, there are some challenges, and we are going to address them to you in due course. So that are the 3 answers to the first 2 questions of yours.
 And with that, I hand over to Maike. 
Maike Schuh: Regarding your PA 12 update question, so yes, I can assure you that our plant is now running smoothly. And in terms -- so we see that, yes, we can move with that -- with the smooth [ running ] plant into now the future. What we have seen in Q1 is that the macro situation -- and that's what we have said a couple of times already, the macro situation in Smart Materials is still relatively weak and will stay relatively weak also in Q2. However, we see in Q2 some hope for restructuring. We see some more volumes getting into the market, some more robust outlook. 
 On the one hand side, Asia, automotive and electronics are running quite nicely regarding PA 12. The white goods -- and we have mentioned that before a couple of times already, the white goods are still weak. These dishwasher baskets, you might remember, are slowly improving now. These are these large effect from COVID. We still see a relatively mixed regional picture. As I said, Asia is strong, America getting better. Europe is flat year-over-year. But -- so we sell in both directions and the plant is running. 
Jaideep Pandya: If I can just ask one follow-up to Christian, just around M&A. Could you give us an update regarding your Performance Materials divestment plan? 
 And then just on the 3 core divisions, I mean, historically, you've always had very strong positions in your respective markets. Which are the areas then would you like to upgrade either regionally or portfolio-wise? Because it feels like when I look at your portfolio and compare it to returns in certain areas like healthcare, consumer care, for instance, there is maybe a need for some M&A. Maybe I'm wrong, but just curious to know what your thoughts are on this topic? 
Christian Kullmann: About Performance Materials, it is that the functional -- the superabsorbent -- as you know, superabsorbents we have signed and we do expect the closing in the incoming next week, but for sure, in summertime. So for us, it is a done deal. In respect of our C4 chain, we have finalized the carve-out. Here we are, from a legal point of view well positioned to start the process, but there's no need for us to have a fire sale or something like this. 
 And if I look around judging upon the current market environment, it won't be prudent. It won't be prudent for us to start the process right now. So here we will see, we will observe. We'll look after the market and our competitors and then let's see when it's a point of starting this process. We are well prepared, observing scenery, no need for fire sale and then let's see. As we have done it in the past, we will remain doing it in the future to obtain a better one.
 And then you've asked, if I've got you right, about M&A tickets in the future. Let me assure you there won't be any big M&A tickets in the future for Evonik Industries. We are now focusing on costs. We are focusing on cash. We are focusing on lifting up our businesses with decent and disciplined organic -- investments in organic growth, but we are not looking around. We are not on our search, not reaching out for any kind of bigger M&A tickets.
 Might be that there will be the one or the other very tiny, very decent, very disciplined one which we could add to refine one or the other business. But that is -- let's give it -- that is what I could imagine if it is outstanding, attractive, but nothing else for the incoming -- for sure for the incoming next 1 to 2 years. That is for sure. Now we are focusing on cash, on costs, and that is what we have in mind in regard of your question. 
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Christian Kullmann for closing remarks. 
Christian Kullmann: It was a pleasure, ladies and gentlemen, having you today. We, Maike, Tim, the entire crew and myself, we wish you a great summer, and hope to meet you soon in person wherever you are. We will be at your disposal. Thanks a lot, and take care.